Operator: Good morning. My name is Tamika, and I will be your conference operator. At this time, I would like to welcome everyone to the Roblox First Quarter 2024 Earnings Conference Call. [Operator Instructions] As a reminder, today's call is being recorded.
 I will now hand today's call over to Stefanie Notaney. Stefanie, you may begin. 
Stefanie Notaney: Good morning, everyone. Thank you for joining our Q&A session to discuss Roblox's first quarter 2024 results. With me today is Roblox's Co-Founder and CEO, David Baszucki; and CFO, Mike Guthrie.
 As a reminder, our shareholder letter, press release, SEC filings, supplemental slides and a replay of today's call can be found on our Investor Relations website at ir.robox.com. On this call, we will make some brief opening remarks and reserve the rest of the time for your questions.
 Our commentary today may include forward-looking statements, including, but not limited to, expectations of our business, future financial results and strategy. Forward-looking statements are subject to risks, uncertainties and assumptions that could cause actual results to differ materially from those described in our forward-looking statements.
 A description of these are included in our SEC filings including our most recent reports on Form 10-K and Form 10-Q. You should not rely on our forward-looking statements as predictions of future events. We disclaim any obligation to update these statements, except as required by law. During this call, we will also discuss some certain non-GAAP financial measures. Reconciliations between GAAP and non-GAAP metrics can be found in our press release and supplemental slides.
 With that, I'll turn the call over to Dave. 
David Baszucki: Thank you. Hey, welcome all Roblox's investors, new investors and longtime investors, and we're pleased to be here with you to report on our Q1 2024 results. We continue on our mission to connect 1 billion people every day with optimism and civility around the world, and we'd like to report it on our progress.
 In Q1, our DAUs came in at over 77 million daily people on our platform with year-on-year growth of 17%. Our over 13 DAUs were particularly strong, growth at 22% year-on-year. And we continue to highlight the growth of our platform around the world with Japan, which is a key gaming market growing at 50% year-on-year; and India, which is a huge market growing at 58% year-on-year.
 Our hours' engaged grades were 16.7 billion in the quarter that's 15% year-on-year growth. And once again, very strong growth over 13 and very strong growth in countries around the world, including Japan and India. Revenue was $801 million, which is 22% year-on-year, and that was higher than our guidance range of $755 million to $780 million.
 Our bookings were $923.8 million, which was in the middle of our guidance range of $910 million to $940 million, but I do want to highlight we wanted that number and expected that number to be higher, and we're going to dive into that a bit in a year. That represents 19.4% year-on-year bookings growth, and one of the big focuses that we've had, which is on our operating efficiency came to light with our cash and consolidated net loss.
 Our net loss of $272 million based on GAAP accounting, was relatively flat with Q1 of last year. And our guidance was a net loss of $347 million to $342 million. So this was remarkably less of a GAAP loss than that. We continue to operate extremely efficiently and to manage our CapEx. Our cash flow -- net cash flow from operations in Q1 was $238 million, which was up 37% year-on-year. And our free cash flow in Q1 was up 133% at $191 million. This is 50% more free cash than we generated in all of 2023.
 The past 3 quarters on infrastructure, trust and safety. Well, the platform performing better and better in all of these areas and the quality going up through the use of AI, internal efficiency, the way we've optimized our infra and our trust and safety, we've actually made huge efficiency gains there, and we've reduced these costs.
 On the personnel side, we've been very thoughtful in how we're hiring and how we're growing our head count. We've been relatively consistent over the last 3 quarters and the size of our head count, while we continue to focus on growing our economy ads team, our AI safety team and our live operations events team.
 I just want to highlight what we -- on the theme we started 3 quarters ago, which is getting bookings growing faster than other areas, we continue down that path. Once again, Q1 bookings 19.4%, trust and safety infrastructure, while increasing quality 4% less year-on-year and personnel at 20% growth. So we'll continue this.
 So that -- but those of you watching us, you will see -- you can see that our bookings in Q1 grew faster than DAUs in hours. I want to make a few comments on this. First, we continue to see the general number of people on our platform being very strong. We don't report the number, but we did see less growth in Q1 that we expected, and we wanted to highlight where we believe this is coming from.
 First off, we shipped a bunch of new tech in the second half of last year. We rolled out dynamic heads, layered clothing, anti-cheat, expanded voice, and we believe, especially in low-end Android, even near the end of Q4, we are starting to see some drag with this. This started to show up in Q1, and we spent the last 3 months analyzing and really improving this up and down the stack, and we'll talk about this a bit more.
 The other thing is, we believe, once again, in the midst of a great Q4, our velocity of new content and our velocity of highlighting just the amazing amount of new content bubbling up on our platform was not optimal. And once again, over the last 3 months, we've made a lot of expansions and enhancements in our search and discovery system that we'll talk about with you.
 We've also taken a lot of steps on live ops and content that we'll talk about, we've done a lot of stuff around our economy in the last 3 months. And I want to highlight, over the last -- really the last half of April and the first half of May, we've seen USA and Canada bookings, DAUs and hour growth come back to north of 20%.
 Now that's not showing in our full Q1 numbers. And as for those of you that have read our letter, you will see that we are going to be more conservative on our guidance, primarily because we only have 3 weeks of data from these improvements. So we are going to be looking at lowering our guidance in 2024 a bit. Mike will highlight that.
 That said, we have a lot of operating efficiency going on. We're not going to be changing our implied guidance on free cash flow for the year. And we'll continue going forward with conservative hiring growth once again in economy and adds, AI safety and content and live apps or live ops. And I also want to highlight internally our advertising plan, which we'll talk about a bit more is on track.
 So hey, some more detail on discovery, we really have done a lot of work here over the last 3 months. And the highlight here is we're optimizing and want to be optimizing not just short-term improvements in bookings and DAUs, but long-term platform health as well.
 For those of you that are watching our home page, you've seen over the last 3 months, an addition of curation to the homepage, which we call top picks. You've also seen that we've moved sponsored, which is for those creators who want to purchase traffic on our platform, start to be a much bigger share of impressions.
 And we've also continued to make adjustments to our core ML algorithm as well. We believe over the last 3 months; this is increasing the discovery and velocity of new and upcoming content. And the mix of new creations on our platform is in a much stronger position than it was 3 months ago. And more to come there.
 The other thing you've probably seen over the last 3 months is the first introduction of a more aggressive live ops philosophy. We ran The Hunt, our first live ops event of 2024 over the few weeks before and during Easter. And we saw an incredible engagement, a lot of reactivation there and we're going to continue this. The community loves the notion of bringing together all of the diverse content into a rolled-up event. For those of you interested in seeing the interest, if you look at my Twitter feed, I think I would say, I hinted at our next event. And this is probably by 2 to 3x, my most engaged tweet I've ever done.
 On the -- on our virtual economy, I want to highlight that as we've gone to a UGC economy, our economy team has been hard at work, working through how to optimize both utility from our users as well as utility from our creators and utility from our platform. And in February, we launched dynamic price floors in our marketplace, which is really driven a much healthier economy as far as the pricing of those items.
 And this is starting to contribute once again to that 20% last 3 weeks, U.S.A and Canada bookings growth that we've seen. We've also launched on the tooling side adjustments to our economy, we really want as many people creating as possible. And so in our creator store, we've just decided for all of the people building tools, plug-ins, message, images, fonts, 100% net proceeds to them because we -- there's really no need for us to try to make a profit there.
 Finally, the long-term vision of everything in our marketplace being UGC, we call that UGC for all. Over the last few weeks, we have launched that. We've opened our market to more creators, it's a big step forward for brands to create Avatar's clothing and accessories as well as the rest of our creator community.
 Highlighting on some of the work we've done around performance and quality, a lot of which showed up, especially in low-end Android devices, and we've been diving in on. There's been a huge focus on analyzing metrics and perf in a much more granular set of cohorts around the proof of our platform.
 We have made significant frame rate improvements, we've made significant stability improvements, especially in our most difficult devices. Once again, that's low-end Android. Also on Windows as well. These results, some are directly measurable in DAUs and spend. And we've also enhanced the quality of graphics on higher-end devices.  So we believe -- also this effort, which we've really been heads down on has contributed to that last 3 weeks, U.S., Canada back to north of 20%.
 On the advertising, which will not be material this year, and that's why we haven't shared the forecast. We are on track with our forecast. And we have done a few things that have been exciting in April. We announced our partnership with PUBMATIC in April. We did our first real-world shopping test with Walmart on April 29. We have a lot more of these tests rolling out.
 And finally, on May 1, we announced that video ads would be available to all of our advertisers through self-serve on our ads manager, and we're really excited about the opportunity of video on Roblox in addition to our portal and site visit type units just because there's so much supply there.
 On the measurement side, we've started the independent measurement, which is critical to our advertisers. We've had some really lovely results on that. We've brought in a brand less solution with KANTAR and our direct sales team has been attending events like play fronts and new fronts. We have had, by the end of this quarter, over 370 cumulative brand activations. And also, I just want to welcome more talent to our ad team on the engineering product on the live ops side. Could welcome David from Google, David Westby, who built a lot of engineering ad tech at YouTube.
 On the creation side, for those of you that are tracking AI more and more we're seeing that data for training is critical. And there are some companies out there they have certain types of data that allows them to train, optimize this still and build their own AI solutions that really leverage our data. We have an enormous amount of data at Roblox. We have a lot of trust and safety data. We have a lot of people writing code and building 3D objects and creation data. And we're more and more starting to lean into really building our own AI platform built on this proprietary data in concert with all of our users.
 So I want to just highlight a few of those things, we continue to roll out generative AI assistant tools on AI stacks that we've built. Earlier this year, we launched our Texture Generator, which is an AI tool to help creators efficiently text your objects. It's absolutely amazing. We rolled out in Q1 a tool we call Avatar Auto Setup, which we were in Open Alpha, I believe we went live yesterday or a day ago, which allows standard industry avatar models which are not necessarily ready for 3D simulation or facial animation to be automatically rigged and turned into full 3D interactive Roblox Avatars.
 And finally, code assist is our own in-house code optimization and code generation tool. This continues to get better and better as well, and we have quotes from devs who are mentioning a 5% increase in efficiency, and this is still very early.
 Finally, our safety platform, which has been the foundation of really everything we've done since we got started continues to get better and better. We're using AI up and down the stack as we've mentioned, we built and run on our own infrastructure, increasingly high-performance voice models that are helping us really keep all the voice on our platform safe, as well as using AI to help in the moderation of every asset type on the platform.
 So [ Synopsis ], Q1, we saw less growth than we expected. That said, we exceeded our margins on cash flow targets the last 3 weeks in U.S. and Canada with all the work we've done in Q1, which is in response to this. We are back to north of 20% growth on bookings, hours and DAUs. But we want to be very transparent, conservative and responsible and that is why we made the very difficult internal decision to adjust our bookings guidance. And we believe we'll continue to deliver the same operating free cash flow that we implied in our guidance last quarter, while making judicious hiring in our economy AI content, live ops and safety groups.
 With that, I'm going to turn it over to Mike, and then we will have Q&A. 
Michael Guthrie: Thanks, Dave. I just want to turn everyone's attention to Pages 24 and 25 in our supplemental materials, which are on the IR website. And just to reiterate a couple of things that Dave said.
 So on a bookings number of about 19.4% growth, we continue to generate really good cash flow dynamics. On Page 24, you'll see cash from operations, this really reflects operating leverage primarily in infra, trust and safety, as Dave mentioned, more of using artificial intelligence, requiring less and less on manual moderation and also leverage across head count by keeping head count flat over the last 3 quarters.
 Operating cash flow for the quarter was almost $240 million, up significantly over last year. Again, that's all-operating leverage. Also on Page 24, just the shape of the curve that shows how we -- how this metric moves during the course of the year. So Q1 is normally our highest quarter. We have a big working capital cash flow inflow from the Christmas holidays that comes in, in Q1. So collections are high. Q2, that number goes down. You can see our guidance. We'll talk about that in a minute is for good year-over-year growth, but the shape of the curve will stay roughly the same, and we're expecting solid growth in Q3 and Q4 as well.
 If you turn to Page 25, what you'll see is the same number less capital expenditures and free cash flow in Q1, $191 million versus $82 million this time last year. That is both the combination of the operating leverage that we talked about as well as a significant reduction in capital expenditures now that our infrastructure, second data center are all in place. So we're through a CapEx cycle. We talked about this at Investor Day in November. So really strong free cash leverage. This is significantly more cash than we generated last year. And if you look at our guidance, we've put a big dent in what we need to produce for the rest of the year to be on target.
 As it relates to guidance, we are -- if you look at the shareholder letter, and we are guiding to revenue bookings, consolidated net loss and now adjusted EBITDA rather than what we had referred to before as covenant adjusted EBITDA. But we're giving everybody all the constituent parts, so that in your models, what you have to do here is take the adjusted EBITDA number and add back the change in deferrals that will fit with your prior adjusted EBITDA in your model. We're happy to talk about that on calls. We have a good growth forecasted in cash from operations, again, moderated CapEx and solid free cash flow on a year-over-year basis and looking strong for the full year.
 And with that, we'll stop the comments and then turn it over to questions. 
Operator: [Operator Instructions] And our first question will come from the line of Bernie McTernan with Needham & Company. 
Bernard McTernan: Great. Just two for me. First, understand the commentary on search and discovery, but are you seeing any changes in the pace or quality of content that's hitting the platform? And then for live ops, Dave, you suggested that there is a next event coming, but how many events are you doing a year, how much makes sense for the platform and kind of maybe what's the pipeline of good ideas that would have the accretive benefit that the Hunt had? 
David Baszucki: Yes. I'd say, first, the distribution of content in Q1 is -- I would say, more distributed than we saw in Q4 in a general way, which highlights new content gaining more market share. In Q1, we also, I believe, saw more velocity of new experiences entering our top 20 than we saw in Q4. So this is, I believe, working.
 On the events, we have to be thoughtful in announcing the full schedule, but I would say between every 1 and 2 months, we expect to do one. The next event, you can -- if you dig into Twitter, you can figure out what it's going to be, and it's going to be awesome. So we do think these are ways of highlighting the key strength of our platform, which is a wide range of distributed content many, many of these pieces of content hitting north of 1 million daily actives. And so yes, I think this is like more good stuff to come with our events. 
Operator: Your next question is from the line of Drew Crum with Stifel. 
Andrew Crum: So you mentioned the performance -- recent performance for KPIs trending around 20% year-on-year. But at least for 1Q this was the second consecutive quarter in which year-on-year bookings growth has outpaced the year-on-year rate of change for some of your other KPIs like DAUs and hours engage. Any sense as to what's driving this? Is it a trend you expect to continue going forward?
 And then lastly, you had previously endorsed a 20% growth rate for bookings for 2025 through '27. I know it's only 1 quarter, but with the adjustments you've made for '24, is 20% still an appropriate longer-term target? 
David Baszucki: Yes. I'll comment first on one, which is I highlighted that we want all of those numbers marching in step at 20% DAUs, hours and bookings. And one of the signs in Q1 that really things weren't where we wanted was that drift between bookings, engagement and hour, and we also saw that in numbers -- just internal numbers, which we generally refer to as general people on the platform versus DAUs and our hours.
 So the last 3 weeks, we've seen all of those numbers in arguably our most mature market, which is U.S.A. and Canada, all 3 of those numbers north of 20%. We want the DAU number, not that we're guiding to it -- to be north of 20% as well. And I'll kick it over to Mike. 
Michael Guthrie: Yes. Drew, over the last couple of quarters, the bookings per DAU and bookings per payer have gone up, which is good. So monetization has been higher than -- has driven bookings growth higher than 1,000 hours. And generally, that's a pretty healthy trend. The movement isn't enormous. It's a couple of percent, 3% this past quarter.
 There's always a little bit of flux in that number as payers' season, they tend to spend more on the platform. So there's always a balance between how many new payers or how many new payers are coming in versus how many payers are seasoning and then becoming longer-term payers. But the numbers are relatively close on a year-over-year basis.
 So to Dave's point, generally, we think those numbers will move pretty much in lockstep. But in any given quarter, 1,000 hours can grow faster than bookings or bookings can grow faster than 1,000s hours. But our goal is for them to be pretty much in lockstep. 
David Baszucki: And then if you look at Roblox far out there, you could see both within the U.S. as we layer in advertising and other forms of monetization, it's conceivable to imagine our bookings per hour goes up in the U.S. and Canada because right now, we're not really fully tapped into the advertising market. That's complemented by some countries that are going to have enormous DAU growth like India that may monetize less. So we have both some forces driving bookings per hour and other forces driving our DAU numbers, and they'll complement each other. 
Operator: Your next question is from the line of Omar Dessouky, Bank of America. 
Omar Dessouky: It's Omar Dessouky, not Desousky. I thought the prior analysts had asked about the 20% kind of outlook that you talked about in the Investor Day for '25 to '27. Were you guys -- did you answer that question in the response? I'm sorry if I didn't hear it. 
David Baszucki: No,We didn't -- we forgot to answer it. Yes, we still believe that the business has that kind of growth potential without a doubt. Like what we're seeing right now in the beginning of Q2 is encouraging, and we absolutely still believe the business has that kind of growth potential. 
Omar Dessouky: Okay. So then it's -- we should kind of think about calendar '24, the lower guidance is a one-off due to the factors that you mentioned, such as lapping PlayStation and the Easter. Is there any more color you can give on like in '25, like how much of that growth would be driven by core versus advertising. I think you've said in the past that north of 20%, is that still kind of the outlook north of 25%? 
David Baszucki: Yes. 
Omar Dessouky: Has your thinking of like advertising versus core changed at all for those out years? 
Michael Guthrie: Thanks, Omar. No, I don't think the out year thinking on ads versus the core business has changed. We're going to -- we will give early next year, when we give guidance on '25, we will give guidance on advertising for the first time. So we're going to do that. We believe we have enough of a foundation and momentum to guide on that number for next year.
 The back half of this year, really what we've done is we've taken the growth rate that we believe is implied by our guidance for the first half of the year and applied it to the second half of the year with a small decline just based on Q4 of last year, which was obviously our highest growth quarter and had things like PlayStation, which we'll be lapping this year.
 So ultimately, the back half of the year is about 100 to 150 basis points of growth lower than what is implied by guidance in the first half of the year. On the other hand, going forward, again, based on what we're seeing today, we believe that we can continue to grow the core business at the kind of rates we talked about last November.
 So that is still how we're thinking about 2025, and we're thinking about advertising in 25 as a nice increment of the business but not one that is substantially driving the overall growth rate of the company. It will eventually be contributed to the overall growth rate, but that will be more '26, '27. 
Omar Dessouky: And just one more question for me. So if I just do the quick math on the calendar '24 top line guide, it looks like it came down by a little less than $200 million, yet the EBITDA margin like-for-like seems not to have changed, and you don't appear to have lost cost leverage. Has your investment plan changed? Or have you pulled back on your plans to make fixed investments, is that why the EBITDA margin is staying about the same, as you've said before? 
Michael Guthrie: So Omar, yes, the top line guide number is down by about 4%. And you're right, the profitability, EBITDA, cash flow numbers remain unchanged. That is just because we have had operating leverage in the business, and we've had that for a while. If you look at the last 4 quarters, we've been getting leverage on our fixed cost, which is infrastructure, trust and safety as well as on head count. And we expect to continue to see that by being very careful about what we're doing, but we had already forecasted that we were going to have operating leverage.
 And then on the free cash flow side, it's because CapEx is coming down, and that's something we talked about last November, and we are certainly seeing that flow through this year. So we've said the unit economics and the cash flow generating ability of the company are very high, and we are in a good place in that we had enough cushion in the operating expenses and the CapEx to be able to deliver the same amount of cash flow on a forecast or guidance right now that's about 4% lower. 
Operator: Your next question is from the line of Cory Carpenter with JPMorgan. 
Cory Carpenter: I was hoping you could expand a bit on what you think drove the engagement with the clients in 1Q. I know you mentioned potentially low-end Android slowness, but anything else to call out.
 And as a follow-up for Mike, you mentioned U.S. and Canada bookings north of 20% to start the quarter. I think the 2Q guide implies 13% bookings growth. Could you just help us bridge the gap there? 
David Baszucki: Yes. I'll go first on Q1. And -- we -- just to be clear, we believe this is a combination of several factors that was below the measurement threshold in Q4 and started to show up in Q1. The biggest driver or arguably one of the biggest growth drivers on our platform is raw performance.
 The time to join and experience, the frame rate of an experience, the ability to play for a long time without interruption on our platform, the speed of finding friends. These are all huge growth drivers. And we shipped a lot of stuff in the second half of Q4 or second half of the year.
 We also started rolling out a lot of stuff. Once again, dynamic heads that track the camera, more and more of our users with Avatars with complex collections of layered clothing. We -- more and more of our users are using voice on the platform. And also, we've arguably tuned one of the best anti-cheat systems with our acquisition of Hyperion over Q4 and the second half of the year in the industry. A lot of our users use high-end devices, but a lot of our users use low-end mobile devices as well. And performance is just critical on all of these things.
 So we have a large, focused effort on perf up and down our stack. It's been happening in our creator tooling group. It's been happening in our user client group. It's been happening in our core engine simulation group. We're measuring finer cohorts. We're measuring more specific users, and we believe this has been contributing to the recovery we saw on Q1, at least what I would say is the last 3 weeks being U.S. and Canada go north of 20%.
 And now I'll hand -- Mike, if you could refresh the second half of the question, Mike, you can handle that. 
Michael Guthrie: Yes. Great. The activity we're seeing in the last 3-plus weeks is obviously encouraging. So the back half of April and what we've seen so far in the month of May. Our guidance for the quarter reflects a couple of things. One is you have to take into account the first half of April.
 So the improvements really did start right around April 15, it was pretty significant in our numbers. So embedding the first half with the second half gives us the April numbers. And then the 3 weeks that we've seen we have to be cautious as we roll those through our forecast for the month of May and the month of June and what that means for the quarter.
 So in the context of providing guidance for the quarter, Q2 and the growth rates, we felt like it was much more prudent to lower that growth rate and give ourselves some cushion. And same thing with the back half of the year. Again, it's great to see the last 3 weeks, but extrapolating that into Q3 and Q4 with no sort of discounting just doesn't make sense. It's just not prudent to do that. So we're trying to be very thoughtful and rational about it and the overall hit to the full year guidance ends up being at about 4%.
 Does that make sense? 
Cory Carpenter: Yes, that's helpful. 
Operator: Your next question is from the line of Clark Lampen with BTIG. 
William Lampen: I have 2. David, I wanted to come back to the point around new content. We've got a lot of really good visibility around [ active ] payers on the user side of the platform a little bit less so on developers. Was that challenged sort of with new content, a function of both user and developer engagement moderating or maybe more one versus the other. Just curious if there was, I guess, a little bit of that moderation on the developer side, if you would think about addressing it differently than you would users? 
David Baszucki: Yes. It's really exciting. Yes, we actually are in the process of having a developer day with some of the top creators on the platform right now. And we really have arguably the foundation not just a 5,  10 or 20, but hundreds of some of the most creative people creating studios on our platform who arguably are the future CEOs of the interactive entertainment environment.
 What -- this content is already there. We have in our top 300 a huge collection of amazing experiences. What we really want to do more and more is to optimize the long-term health of our platform by making sure these amazing creators are all seeing the growth they need to, to continue building their business. And if our content distribution is too focused, some of those, not necessarily long tail, but some of those creators in the top 300, for example, are not seeing enough action to supercharge their business.
 So we've seen the content curve in Q1 with the work we've done, once again, not just with our top picks or not just with the ability to buy sponsored placement and not just with the adjustments of our algorithm too, I think, focus a little on long-term platform help. We've seen that curve get flatter and more distributed.
 The other thing is our live events. The Hunt, for example, featured 100 creators, some of the most amazing creators and behind the scenes was also a content discovery event where as part of the Hunt users on our platform experienced all 100 of those experiences. So I think -- our belief is there's already amazing creations on the platform. There's a lot of creators out there with 5 to 20 people already on their team building businesses that are arguably up and coming, great new content, and we're seeing more, I would say, new creators coming into our top 20 in the last quarter than we had in Q4. 
William Lampen: Understood. Mike, maybe as we think about, I guess, a more prudent approach to sort of forecasting the back half of the year. Has there also been, I guess, sort of a commensurate sort of moderation in any of the sort of pipeline or product launch initiatives that you guys had sort of talked about last quarter thinking about, I guess, whatever you had maybe plan to provide to the community in terms of economy initiatives? Have those been walked back in any way for 3Q or 4Q? 
David Baszucki: I want to comment on that. The -- we have a lot of stuff in the pipeline on advertising and economy, and we're continuing to drive that. Just as I highlighted, we rolled out dynamic price floors. We're rolling out more integration of -- on the homepage sponsored advertising, we have other things coming around search advertising on the platform. We just rolled out in-game and inexperienced video. So you're going to continue to see velocity there.
 In other areas of the company on the raw performance and quality of our simulator, you'll see that drive for quality and perf continue there. So I think it's selective. And I highlighted on the AI side, we have a lot of work and things we'll be bringing to market there. And also on the content and live ops side, you'll continue to see these events. So we're focusing a bit on AI safety. We're focusing a little bit on economy adds, while other areas of the company continue to drive perf and quality. 
Operator: At this time, we have time for 1 more question. Your next question comes from Eric Handler with ROTH MKM. 
Eric Handler: Two questions actually. First, over the last 12 to 18 months, you've seen a huge inflow of branded experiences. And I'm curious, how does the engagement and monetization of those branded experiences compare to the traditional nonbranded content that's on the platform? 
David Baszucki: Yes. I'll just go anecdotal high level without metrics. And then, Mike, I don't know if you have any. There are experiences on Roblox, any of our top 20, top 100, top 200 experiences that are played many times a day, week or month and sometimes for years and years by some of our players. And these are long-term engagement with games that's not necessarily our expectation for branded experiences. Although over time, more and more branded experiences will have longer playtime and longer dwell time.
 That said, our research, there's an interactive movie trailer on our platform. And the engagement of something like that is much more deep than what would typically happen with a video movie trailer. And we do expect the engagement of branded experiences to ultimately be very different than image, print or video engagement. These are experiences where friends can shop together, try things on interact with the brand. Once again, whether it's Lamborghinies or adidas or Gucci and really relate. So the engagement is much higher than video.
 Mike, I don't know if there's any numbers, we would share around that? 
Michael Guthrie: No hard numbers, Eric, that we would share at this time. I think it's early in the experiences, and each of those are individual experiences. They're learning how to build content on the platform. So some of them have done an incredible job and created very, very engaging experiences and others are still learning what our platform is all about, and they're experimenting and they're not looking at those kinds of metrics yet. So I just think it's early to draw any conclusions.
 And Eric, you said you have a second? 
Eric Handler: Yes. So recognizing it's still very, very early, but in the few days that you've been out with the Walmart Discover, and knowing it's -- they only have 3 in real-world products to sell. How is that going? And you did the digital advertising beta that you did was 6 months. How long do you think this is before you sort of go live on a broader scale? 
David Baszucki: We want to -- this is the year we're focusing on advertising, portal and video. We are excited about in world physical shopping, partially because it's a way for our partners to attribute and measure the success of their ads in addition to buy stuff. So in World Shopping is very early. We're not in corporate revenue in any of our models for really '24 or '25.
 But it does point to a future where just as being with friends together on Roblox when you're playing or you're playing hide & seek or you're socializing or whatever, that -- it's an exciting what we believe new way over time, that more people will shop together. And we do see a future over time without any forecast or expected dates, we're going with friends to shop together in 3D trying things on and then buying physical items is going to be part of what people think of Roblox. 
Michael Guthrie: And Eric, I just would add that we're really thrilled that the first partner is a company like Walmart, the quality and scale and the brand of Walmart in retail is sort of the perfect partner to start off something like this. So we're really thrilled to be getting the earliest indications and signals of commerce on the Roblox platform with someone like Walmart. 
Stefanie Notaney: Thank you for joining us today, and I'll turn it over to   Tamika to close this out. 
Operator: Thank you. That does conclude today's call. Thank you for participating. You may now disconnect.